Operator: Good day, ladies and gentlemen and welcome to the fourth quarter 2008 Genpact Limited earnings conference call. My name is Katie and I’ll be your coordinator for today. At this time, all participants will be in a listen-only mode. We will be conducting a question-and-answer session with the end of this conference. (Operator instructions) I would like to now hand the call over to your host for today, Mr. Anil Nayar. Mr. Nayar, please begin.
Anil Nayar: Okay. Thanks very much, Katie. Welcome to Genpact’s earnings call to discuss our results for the fourth quarter and full year ended December 31st, 2008. My name is Anil Nayar, Head of Investor Relations. And with me, I have – I have Pramod Bhasin, our President and Chief Executive Officer; and, Vivek Gour, our Chief Financial Officer. We hope you’ve had an opportunity to review our press release. If not, you will find it in our Web site at genpact.com. Our agenda for today is as follows, Pramod will begin with an overview of our results, provide a perspective on the current environment in our industry and our progress in implementing our strategies. Vivek will then take you through our financial performance in greater detail. Finally, Pramod will make a few closing remarks, including commentary on our initial guidance for the full year 2009, after which we will take your questions. As you’ve seen from our press release a few days ago, Tiger Tyagarajan, Genpact’s Chief Operating Officer, will join us in the Q&A session today. We expect the call to last about an hour. Please note that some of the matters we will discuss in today’s call are forward-looking. These forward-looking statements involve a number of risks, uncertainties, and other factors that could cause actual results to differ materially from those in such forward-looking statements. Such risks and uncertainties include, but are not limited to, general economic conditions and those factors set forth in our press release and discussed under the Risk Factor section of our annual report on form 10-K and other SEC filings. Genpact assumes no obligation to update the information presented on this conference call. In our call today, we will refer to certain non-GAAP financial measures, which we believe provide additional information for investors and better reflect the way management views the operating performance of the business. You can find the reconciliation of those measures to GAAP as well as related information in our press release on the Investor Relations section of our Web site at genpact.com. With that, let me turn over the call to Pramod.
Pramod Bhasin: Thank you, Anil. And good morning, everyone, and thank you for joining us in our call today. Genpact completed 2008 with strong growth in revenue, margins, and earnings despite the continued challenges in the global economy. We are seeing client needs changing in this environment with deficient delay and a greater focus on cost control and cash reservations. We’re also seeing greater C-level focus on this issue, which is good news since we are well positioned to respond with effective solutions to meet these needs. We have stayed close to our clients and our alliance with them to ensure that our execution is flawless, and we drive business outcomes that are relevant to them, especially cash improvement and cost management. Here are our highlights. Revenues grew 22% for the fourth quarter versus last year and 26% for the full year, driven primarily by global client revenue growth. In 2008, global client revenues totaled $551 million, representing more than half of our total, up from almost descending stock four years ago. GE revenue also continued to grow in 2008. A balanced revenue in 2008 reflects Genpact’s ability to expand existing client relationships and building new business. Existing clients represent an approximately 85% of our growth in 2008, but we also added a substantial number of key clients during the year. We continue to diversify geographically in 2008, including growth of 34% in Europe, 66% in the Asia Pacific region. This includes emerging growth markets such as China and India, where we continue to build our book – where we continue to build our book in 2008. We’re also investing in new global delivery centers to respond to clients’ needs for geographic diversification. An example is our investment early in the year in Guatemala to strengthen our presence in Latin America and our more recent opening of facilities in Morocco and Oman. Adjusted income from operations margin increased to 20.8% in the fourth quarter and 17.1% for the full year, compared to 20.4% for the previous quarter and 16.3% for the previous full year. The margin expansion arose primarily from driving higher value services and reflects our discipline in managing cost and improving productivity. For example, as we gain more experience with a client over time, we are able to streamline our processes, increase our managerial span of control, and thereby improve productivity. Vivek will review our financial results in great detail in his comments. But in summary, our results were on target with our guidance for 2008. And we think this is a strong performance in the current environment by any standard. I also wanted to say how pleased I am to have Tiger Tyagarajan with us on the call today. As many of you may know, we announced last week that Tiger has been named Chief Operating Officer of Genpact. Tiger has been in Genpact up from the early years and he established our sales team that have achieved all of the growth in our global client business. This change will help us balance our focus on key strategic initiatives, drive global operating excellence, and further strengthen our pipeline for growth. As Anil said, Tiger will join us for the Q&A portion of this call. We also announced that Bob Pryor has joined Genpact as the Executive Vice President responsible for sales, marketing, and new business development. Bob has extensive experience in this area, most recently in HP and prior to that with Capgemini, as we welcome Bob to Genpact. Now I’ll turn to the current environment. As we all know, the environment changed over the course of the year, and those changes accelerated dramatically in the fourth quarter due to the liquidity crisis and the resulting recession. The good news is that we are continuing to see a strong deal pipeline over the flow of cycle [ph] foreclosing. Clients are even more focused on potential business impact, especially in the short term. There is also a difference in the environment for IT versus business processes that IT tends to be more of a discretionary spend that is more easily delayed. So this business has suffered today in terms of more pricing and competition. Business processes are generally non-discretionary and focused on cost and improving productivity, and our sales [ph] are well-aligned to meet that need. We have customers in financial services that are impacted by this environment. We have strong relationships and connect with these customers, and are aware of their changing requirements. Our financial services portfolio is diversified by both geography and by products. For example, we grew our insurance practice by 28% last year, and for a wider variety of services, which are generally non-discretionary. Clients are faced with numerous challenges right now. And we believe that once they calibrate that this is operation stability, they will start to take the decisive step, which should work in our favor as we are an obvious solution to help them maximize productivity. The current environment is also been producing new opportunities, such as reengineering projects focused on increasing cash flow, deflation-focused sourcing and (inaudible) analytic, and increased collection work, which leads directly to our solution focused on cash gain. We are continuing to close new deals as well as grow from expanding existing relationships. Our focus of staying close to the customers through client management teams will ensure we are able to understand the issue and create the relevant solutions. As a result, we continue to (inaudible) industry effective in geography. Clients are choosing us because in this environment, we can provide end-to-end process improvement and clearly differentiated an opportunity for growth. Let me explain what I mean by that. End-to-end means that we look at improving the overall process from start to finish rather than only trying to improve a part of the process that has been transferred to us. Let’s take a very simple example, accounts payable. We have the expertise to improve an entire procurement process. For example, from purchase order, to receipt of good, to payment, and finally to usage and tracking of inventory. Even though we may only have accounts payable transferred to us, many of our new deals start small, but grow with our capability to demonstrate end-to-end process thinking. For example in accounts payable, when – may eventually lead to overall procurement, and then to supply chain. And we can very well grow this way because we have the expertise and the broader end-to-end processes. Our differentiated approach also means driving process effectiveness rather than just process efficiency. We look at end-to-end process optimization with a focus on efficiency and genuine process effectiveness taken to a new level of granularity to deliver real business results. Again, if I go back to my simple accounts payable example, process efficiency, which is traditionally what people look at in this business, means doing that function well, measured by (inaudible) metric of finding, therefore, accuracy of (inaudible) cost. Process effectiveness instead means creating real impact to see how that accounts payable process can really deliver improvements in working capital and cash flow, which are translated to capturing discounts, revealing the management strategy and major indirect spending. For instance, in looking at the process of indirect procurement, we know that (inaudible) companies are twice better than others, which translates into millions of dollars in conventional savings that we know how to deliver. This is where we believe we are ahead of competition. We invest in this expertise, which is not easily replicable year-in and year-out. Our differentiated careful abilities reflect and rests on the culture that excels at Six Sigma process and technology expertise and reengineering capabilities. This allows us to deepen our client relationships, move up the value chain, increase productivity, improve margins, and truly provide business value to our customers. As one measure of this investment, revenue per employee increased 9% to $30,800 for 2008 from $28,200 in 2007. Our financial position continues to be strong, clearly an advantage in the current environment, one of the characteristics of our business model that incorporates high visibility and a significant level of recurrent revenues. For the full year, operating cash flow increased 41% to $211 million. Free cash flow increased 71% to $149 million. And as of December 31st, 2008, we had approximately $385 million in cash on hand. This gives us the liquidity and flexibility to continue to invest in operating initiatives or other opportunities that may arise to expand our capability and grow market share. Let me take a moment to talk about governance, Genpact’s governance policy and processes, plus, we have a strong, independent, 11-member board. As you may know, other than myself, all of our directors are independent, including board directors to each representing our two large private equity shareholders. Each board committee audits, governance, and compensation, is chaired by the independent director with members with considerable global experience and reputation. We also have an internal audit function reporting directly to the Audit Committee. And our corporate governance process is structured for business integrity and provides for overall quality setting, oversight, and interaction with management with multiple checks-and-balances. Integrity is non-negotiable at Genpact, and has been at the very top from our early life as part of GE. Our people management practices continue to lead the industry with an attrition rate for 2008 of approximately 26%, down significantly from 30% in 2007. The lower attrition has been spread across the industry as market uncertainties are causing people to reassess job changes, which are likely to result in less pressure on wage increases. The lower attrition is having a positive impact on our business with increased client satisfaction to improve quality and lower costs of hiring and training. We have now completed our second year as a public company. And through an increasingly turbulent economic environment, we have established a proven track record of sustainable growth. We attribute this performance, first and foremost, to the strength of our business model that combines high visibility and relatively large percent of highly sticky non-discretionary work with process and technology expertise. This model is the basis of our performance and growth. It strengthens our ability to navigate through the interim environment as we help our clients rethink their business processes to improve productivity in their chain of work. Our strategy for growth is to provide the services that our clients needs, and to start the ball with clients where we can build a relationship over time, enabled by the depth of our resources, including our Six Sigma process and technology expertise. An example of this is a major US insurance company. The relationship with these carriers started in 2006, with providing limited analytics support to one of its market research groups. In the following year, the relationship grew to the fourth level finance and accounting transaction processes. 2008 was a pivotal year as the relationship continued to grow stronger with joint strategy fashion, with each party gaining insight into the other’s culture and the mutual focus each company had on delivering end customer value. Through the year, we added several new processes supporting (inaudible) holder services and claims. And by the year-end, the relationship has achieved lower (inaudible) and revenues with the current plan to increase this further 25% and an additional delivery location to be added during 2009. This strategy drives our focal end-to-end capability, both horizontal, and that is our specific capabilities across the business process, especially S&A, and supply chain management, which our clients require to operate their business; as well as vertical, meaning the depth – the breadth of industry with – in which we have deep domain expertise. We intend to accelerate our investment in our end-to-end capabilities this year. Now I will turn the call over to Vivek. I will come back and make a few closing remarks and for a wider view of our guidance for 2009 before we open the call to question and answers.
Vivek Gour: Thank you, Pramod, and good morning, everybody. We continue to deliver strong results despite growth slowing down in Q4 in difficult market conditions. In this call I will highlight our fourth quarter performance, then review the full year results in detail, and conclude with balance sheet and cash flow highlights. Let me start with the fourth quarter 2008 highlights. Our net revenues for the fourth quarter were at $282 million, a 22% increase from the fourth quarter of 2007. Our global client revenues increased 31% year-over-year in the fourth quarter, and 5% sequentially as compared to the third quarter. Reported GE revenues increased 12%, compared to the prior year of the fourth quarter, and 15% when we adjust for GE divestiture. GE revenues increased 2% sequentially in the fourth quarter. Clients accounting for revenues of $5 million or more increased from 18 in 2007 to 29 by the end of 2008. Of these, four clients account for $25 million or more of annual revenue. Adjusted operating income for the fourth quarter of 2008 was $58.7 million, up 24% from the corresponding quarter of 2007. Our adjusted operating income margin improved 40 basis points to 20.8%, compared to 20.4% in the fourth quarter of 2007. This improvement reflects the productivity measures that we have been driving through the years. Now to the full year of 2008. In 2008, our revenues grew 26.4% to a $1,041 million. Global client revenues grew 62% and accounted for $551 million. Global clients now represent 53% of total Genpact revenue. GE revenue, adjusted for divestitures, increased by 7%. Our portfolio continues to be balanced with a client base diversified across industries, sectors, and geographies. During 2008 both VSSI and manufacturing clients accounted for approximately 42% of revenue reached. The remaining 15% came from customers and other services such as telecom, media, retail, and hospitality. The concentration in the VSSI sector dropped by 2% points in favor of the service sector in 2008 when compared to 2007. The business services portion of our business grew from 76% in 2007 to 80% of revenues in 2008, reflecting the strengthening of the annuity base in our revenue. IT services accounted for the balance 20%, down from 24% in 2007. The decrease in IT revenues reflected the continuing industry softness in discretionary spending in areas such as software services. Moving to the income statement our gross profits for 2008 was $422 million representing a 40.5% margin. This is a decrease of – decrease from the 41.3% gross profit margin in 2007. This marginal decline is due to one time write off of software licenses that we no longer needed in 2008, and certain subsidies we have received from the Hungarian government in 2007. Adjusted for these, the gross profit margin remained approximately flat when compared to 2007. Our SG&A expenses for 2008 was $255 million, representing 24.5% of revenue as compared to 26.5% in '07. This improvement in SG&A represents approximately a productivity of 10%. This productivity was driven by maintaining a tight control on support costs and discretionary expense. Our adjusted income from operations improved from a $134.4 million in 2007 to $178.4 million in 2008, an increase of 32.8%. Our adjusted operating income margins for 2008 stood at 17.1%, this is an 80 basis point increase from the 16.3% in 2007. Our tax expense in 2008 was $8.8 million against $16.5 million in 2007. This represents an effective tax rate of 7%, compared to 23% in '07. During the fourth quarter of 2008, we had a few one off items, tax benefits relating to stock bids of compensation that reduced our tax expense. But for these, our tax expense would have represented an effective tax rate of approximately 12% as we had expected. For 2009, we expect our effective tax rate to be in the range of 17% to 19%. Our net income stood at $125.1 million for the full year of 2008, compared to $56.4 million in 2007, an increase of 122%. Our diluted EPS improved from $0.12 to $1, to $0.57 to $1. Our adjusted diluted EPS was 79%, compared to $0.51 per share in 2007. In extraordinary market conditions, we believe this is the right time to invest, build, and equip us for future growth. We have invested in the past in people, infrastructure, and new capabilities, and these have yielded solid results for us. We plan to continue those investments in these tough market conditions to counter new challenges and emerge a stronger player as the economic environment improves. Let me take a moment to discuss the impact of foreign exchange movement on our financials. In line with our hedging strategy, we substantially hedged on non-US dollar stock to the extent market conditions allow us and to the extent needed for compliance with FAS 133 permits us to do. Our hedges are long term, non-speculative, and compliant with FAS 133. The aim of these hedges is to ensure, that by and large, our non-US dollar cost of production is substantially hedged to the dollar to protect us from short term currency fluctuation. Our hedging strategy is non-opportunistic. The currency appreciation in the Indian rupee, therefore, does not have any significant benefits on our margins. Just like in the first half of 2008, we did not see any significant impact and the rupee was strengthening against the dollar. For 2009, we believe we are adequately hedged to substantially protect our margins, and we continue to hedge prudently through – until 2011. We have a strong balance sheet with approximately $385 million of liquidity. This is available to us in cash, invested in US Treasury bills, and in short term deposits with the state bank of India, in General Electric, and China Construction Bank, which is owned by the government of China. We also have access to one round credit lines of approximately $145 million. Our practice is not to invest in mutual funds, equity, or any other risk instruments. Accounts receivables increased in line with our growth, and our day sales outstanding measure improved to 73 days, down from 75 days in '07. While we face pressure from clients on increased credit periods, we have invested in systems to improve billing and collections efficiency, and these have contributed to the improvement in our DSO. Our gross capital expenditure for 2008 totaled to $69 million, representing 7% of revenues. This included the investments we are making in special economic loans in India. During the year, as Pramod mentioned, we added new sites in Guatemala, Morocco, and Poland, and this reflects our commitment to expand in new geographies and offer wider (inaudible) skills. Our cash flow from operations for the 12-month ended December 31st, '08 was $211 million, compared to $150 million in the same period in '07. This significant increase was driven primarily by higher operating income generated in '08. We maintained a prudent and conservative approach to managing cash balances and working capital. And we will be even more vigilant in the months ahead in light of the current market environment. I now turn the call back over to Pramod for his closing remarks.
Pramod Bhasin: Thank you, Vivek. Now more than ever, our investment in talent, operating expertise, and end-to-end process improvement as well as the strength of our business will differentiate our components from our competition. We are partnering with our clients to drive improvements in costs and cash. Genpact is well positioned to meet these needs, and we have a disciplined process to manage through the current environment. First and foremost, we are staying close to our clients, delivering superior service, value, and results, and continue to grow these relationships. Secondly, we are utilizing our relationship management team, which has tremendous operating experience as well to convert our pipeline. Our pipeline, which increased to record levels in the fourth quarter gives us a great opportunity for continued growth in 2009. Third, we are well positioned with our end-to-end solutions to help clients with cost reduction, product – production efficiency, and cash flow improvement. And we intend to continue to expand those end-to-end capabilities to fill in any gaps. We also have expertise in areas such as integration of operations, risk management and compliance, which will all have bigger customer focus in today's environment. Fourth, while we are seeing pricing pressures, we have multiple levels such as managing wage inflation, utilization of infrastructure, and managing discretionary expense to offset these trends. And we will continue our relentless focus on cost discipline and improved productivity. And fifth, we will continue to re-invest in the business to enhance our capabilities and build domain specific expertise as well as diversify our business geographically, especially in emerging growth markets. We are today providing the first look at our guidance for 2009. This is the most turbulent economic environment of our times. Our products and services are ideally positioned to meet the needs of our clients at these times, and our focus on key areas of cash and cost containment will drive growth. We also see new opportunities in specific areas such as collection, supply chain, India, China. And we intend to put renewed focus on these areas to drive growth. We believe this is the right time to invest for long term growth, including acquiring outstanding talent, building our current end-to-end capabilities, investing in marketing and business development, and expansion into new geographic areas. We believe that businesses that invest during difficult economic times will emerge stronger as market leaders as the economy recovers. The immediate environment, however, remains turbulent. And it is difficult to predict the macro-economic environment. And consequently, as you would expect, we will take a cautious view in providing guidance. We believe that price may give and will be under pressure this year, and we have anticipated this in our guidance. However, I must assure you we have a very disciplined pricing model to drive fair returns over the course of our client relationship, and we expect to continue to follow this model. Based on our current view of our market, we expect revenue growth of 10% to 15% from a base of $1.04 billion in 2008, and adjusted operating income margin of 16% to 17%. We are very optimistic about the opportunities for Genpact, particularly in recession – in a recessionary environment, both with existing clients and potential new ones. But we are taking a cautious approach for the present. Lastly, I want to personally invite all of you to our second investor day event, which will be held in New York on Tuesday, March 17, starting first thing in the morning. Unable to provide you with the details, we wanted to make sure to ask you to save the date. We look forward to meeting you there and to providing more insight into the near term outlook, our go-to-market approach, and our strategies for growth, especially building our end-to-end capabilities. With that, I would like now to open the floor to questions.
Operator: Thank you, sir. (Operator instructions) Your first question comes from the line of David Cohen from Robert W. Baird. Sir, you may proceed.
David Cohen – Robert W. Baird: Yes. Good morning, guys, and nice job.
Pramod Bhasin: Thanks, David.
David Cohen – Robert W. Baird: I guess, my first question, just as we think about revenues during 2009, it looks like – first of all, if we just annualized your Q4 run rate of $282 million, you get to about 8% to 9% growth, just keeping that constant throughout '09. So on the surface, it looks like there is some conservatism built in to that 10% to 15% growth target. And I'm just wondering if you could talk a little bit about what could bend in that assumption if you assume some clients, you’ll actually get client revenues, some will grow, and then how you think about GE versus non-GE, and maybe a little about FX. I'm just wondering how we look at all these different moving parts and how you built up the revenue assumption.
Vivek Gour: Sure, David. Good point. The run rate that we have going into 2009 will have to include some deletions of project runoff, reengineering project, analytical work and, particularly, in the ideal area, we’ll – we anticipate and know that some of our (inaudible) work will actually drop away. So in fact, the fourth quarter is not the run rate we will enter into 2009. Well, it’s going to be lower than that. At the same time, when we look out, what do we see? We’re seeing (inaudible) companies, volume declines in terms of the amount of volume we are processing for them, and therefore, that will impact us. In some cases, we expect a few deletions, but it’s not material. It’s not big. But certainly, there’s going to be volume decline. And I think we expect certain pricing pressure. Also, as we go forward in the market, some clients who are facing extraordinarily severe volumes are going to look for pricing relief. Now, we will offset that with volume. We will offset that with other cost out initiatives that we take with productivity drivers, et cetera. And that’s where we’re coming to the debt of 15%. It is also partially just the fact that it is a harder economic environment in which to predict. And therefore, we have to be cautious.
David Cohen – Robert W. Baird: Okay. That’s great. I appreciate that answer. And then, secondly, this quarter, SG&A was quite a bit lower. It had been trending I think in the mid 20%, 25%, 26% of revenues for several quarters. And this quarter, it did quite a bit. I’m wondering if that line item is going to stay at this lower run rate given some of the productivity enhancements that you’ve been working out or if that should ramp back up to a more normalized rate in ’09.
Vivek Gour: I think it will ramp back up to a more normalized rate, but it’s not going to ramp back up necessarily to the same level that we may have been at during the year. One of the things we pride ourselves on this are ability to take (inaudible) and become more productive, streamline our own system, et cetera. And you’re seeing the impact of that on the SG&A line in the fourth quarter. We see no reason for that to ramp back up all the way because we think we can be very effective. As we said, we want to make some investments. We think this is an ideal time, for instance, to acquire terrific talent that is becoming available, particularly, in the US and Europe. Therefore, it will go back up a little bit, but it’s never going to go all the way. But the main reason for the drop off in the fourth quarter was a lot of the productivities we were able to get out of our support costs, and as a bench out of hiring and training, and things like that.
David Cohen – Robert W. Baird: Great. Thank you. And finally, as we look at GE versus non-GE, are you thinking another mid single digit growth expectation for GE in ’09 and that with non-GE clients growing much faster? And as we think about that, should we exit ’09 with GE being close to the 40% of revenue?
Vivek Gour: GE is going to grow at low to mid single digits at this point in time. That would be corrected had non-GE clients, again, in this environment will be growing much faster. Equally, I would just add that the IT business may not have any growth at all because that is where the real pressure is being set. And consequently, the business process side of global clients NGE is going to grow really amazingly well given the environment they’re in. I hope that’s helpful.
David Cohen – Robert W. Baird: That’s great. Thank you so much.
Vivek Gour: Thank you.
Operator: Your next question comes from the line of Joe Foresi from Janney Montgomery Scott. Please proceed.
Joe Foresi – Janney Montgomery Scott: Hello, guys. I’m just curious, and again, just going back to the guidance, maybe you could give us some idea of what you should sort to that 10% lower end and what you need to happen to get you to the upper hand. Maybe you could give us those two different scenarios.
Pramod Bhasin: I think the – let me try and explain how we’ve got here. It is harder to predict because decisions are getting slowed. Some companies are in significant internal reorganization and structuring, so it is practically easy for something to slip by a month or two or deficiencies to be delayed by a quarter. That’s the problem. And therefore, we have widened the range precisely because it is harder to predict. What we have done is gone client by client, account by account, customer by customer, and looked at what is the scale of help, how well or badly are they doing in this environment. And therefore, what are their likely responses? Having done that, we factored in certain risks that we believe are there, both in terms of pricing pressures that we may see. Volume declines that we may see as a result of their volume as well as what we could – what they need our help in to drive productivity? What can we do on the reengineering side? So it’s in fact a wider range, specifically because I think it is just a much tougher environment to predict it.
Joe Foresi – Janney Montgomery Scott: Just based on level of visibility?
Pramod Bhasin: Yes. It’s based on level of visibility and factoring in risk of law of predictability, particularly, let’s say as new business and other things come true.
Joe Foresi – Janney Montgomery Scott: Okay. And then, are you seeing any pricing pressure out there in the current market? Maybe you can give us an order of magnitude if you are.
Pramod Bhasin: Definitely. There’s definitely pricing pressure as you would expect. I mean, frankly, I think if anybody says they’re not seeing pricing pressure, I don’t know. I’d like to meet them and find out which business they’re in because – it’s in every – when customers are off revenues by 20%, 30% at a time, you’re going to see pricing pressure, right? That’s just – that’s more common sense than we should expect it. Now, it is patchy depending on the severity of the pain a customer is going through, and depending on how discretionary or switchable the work is. So customers would work and very switchable, they’re going to come and say, “Give me 15% off, otherwise, I’m moving it because somebody else will.” Equally, competitively, full paying increase pricing pressure, but I think we’re very comfortable and we know how to handle that. We’ve handled that in the past. We’ll handle it now. And we know how to grow into profitable relationship with customers. So we’re not concern about that. We’re also, in many cases, not seeing too much pricing pressure because we recently concluded the agreement, the rates have been good, or we recently renegotiated rates and those will hold for the duration of the year. But where we see pricing pressure discussions is in all those companies where their revenues have been badly hit. And that is as expected. And then, in those instances, a pricing pressure can be pretty severe.
Joe Foresi – Janney Montgomery Scott: As far as – and I assume that’s built into your guidance. Can you give us some idea of the order of magnitude? Is pricing down 3%, 5%? And is it coming from the IT services guidance or getting into the business? Or is it coming from the customer base itself?
Pramod Bhasin: Right. It is built into the guidance. The overall impact is quite small, I think. We believe it’s going to be in low to mid single digits. We’re seeing it more on the IT side from customers. We’re seeing it more competitively from all the majors that we are competing against. They’re all showing a remarkable willingness to compete on price. And so, you’re seeing that, but the bulk of it is really coming from customers who are saying, “Guys, you are our partners for a long time. We’re going through a deep bend. You need to find ways to help us.” Now there are many offsets to this, so there are times when we’ll say, “Okay, we’ll give you a price to make a lot more volume to offset it. Or we’ll give you a price, but let us give it to you in what we call transactional productivity; i.e., we’ll drive process reengineering on your process so the net cost of delivery to you is reduced.” And that’s why the eventual impact is in queue, and of course, as I’ve said, there are many customers where we recently negotiated price. So there is no change in pricing.
Joe Foresi – Janney Montgomery Scott: And just one last quick question, I know that the IT services business seems to be dropping off probably a little bit more than BPO. Any thoughts on where you take that business from here? Do you plan on continuing to grow it or do you plan on having it as a nice edition to your current offerings? Just any thoughts on where you see that business, let’s say, a year from now.
Pramod Bhasin: We’ll continue to grow it, and we’ll go out to the market and make sure that we continue to grow it. We do see it as a necessary tool towards our whole end-to-end strategy and that’s the key. Our end-to-end strategy of rising process improvement for our company across a complete process needs process expertise, needs technology expertise, needs our analytics capability, needs our fixing line lien capability, and then needs our business inside and experience to get from any customers. So we will continue to build it out in those specific areas where we can use that technology to drive more of the end-to-end processes that we are focused on for our customers. We think it is essential to that strategy.
Joe Foresi – Janney Montgomery Scott: Okay. Thank you, guys.
Pramod Bhasin: Thanks.
Operator: Your next question comes from the line of Ashwin Shirvaikar from Citigroup. Please proceed.
Ashwin Shirvaikar – Citigroup: Hi. Hi, Pramod. Hi, Vivek.
Pramod Bhasin: Hey, Ashwin.
Ashwin Shirvaikar – Citigroup: Congratulations on the appointment.
Vivek Gour: Thanks, Ashwin.
Ashwin Shirvaikar – Citigroup: I wanted to go back one more time to the guidance. And, of course, last August, it seems disappointing relative to consensus and just wanted to repeat a prior question you got. What is the currency assumption you said as it relates to your revenue growth? I mean, are you making a specific currency assumption?
Vivek Gour: Ashwin, normally, we hedge out currency well beforehand.
Ashwin Shirvaikar – Citigroup: I meant on the revenue side, the impact of currency on revenues.
Vivek Gour: So a small part of our currency on revenues remains unhedged because the compliance of FAS 133 doesn’t allow us to go all the way to 100%. So there would be a minor impact on currency movement. But we operate in so many currencies, some go up and some go down.
Ashwin Shirvaikar – Citigroup: So your revenue guidance is – we shouldn’t really, you’re saying, adjust it for currency or anything like that? I mean, it is – you’re not making a very conservative assumption about the revenue impact from currency.
Vivek Gour: No, we are not. And we have a dollar functional balance sheet, maybe unlike some of our other competitors. So revenues that flow into dollars do not give us a currency impact on the revenue line.
Ashwin Shirvaikar – Citigroup: Okay. And on the non-GE side of the business, you have, obviously, Wachovia, Nissan, Genbook, all blue chips in the past that have – the markets are telling us considerable forward uncertainty with regards to those contracts. What is the assumption you’re making with regards to those? Any progress with regards to the Wachovia contract at Wells, if you could update us on that?
Pramod Bhasin: Sure. Let me take a minute and I’m going to update with the comments on it. We actually, unfortunately, can’t comment on the confident – because of the confidentiality nature of what happened with Wells and Wachovia. But suffice it to say that we have really gone through client by client and looked at each on the financial business side. As I said earlier, we’re seeing healthy growth, which we are very happy about. There are areas in the RO sector and other areas that you will see a decline in volume, clearly, given the environment they have. And that’s how we’ve positioned it. At the same time, we continue to win some very good business that we are very happy with. Before I end it though, I just want to respond to one thing. I think you were saying that perhaps it was disappointing and our guidance wasn’t competitive. But candidly, I think having looked at other companies and other results, I think these are terrific results in this point in time, in this environment. The environment has changed dramatically over every month. From what I’m seeing of other competitors and other people in this industry, we are way ahead of the pack right now and I believe that will hold through as we go forward. Tyagarajan, if you want to add.
Tiger Tyagarajan: No, I think, Ashwin, the way I would respond is similar to Pramod saying that customer by customer buildup is the way we went above both volume as well as price and we expect for a year. So your question on Nissan and Wells, they’re all factored into the overall numbers that we have guided to.
Ashwin Shirvaikar – Citigroup: Okay. And just to talk about the key, the roll off of existing contracts that you mentioned or alluded to in your remarks. Are you expecting a normal level of roll off going from 4Q to 1Q or is it maybe exacerbated by new contracts not coming on that fast. Is the ramp of contracts that you have signed slower, maybe? If you could comment on the ramp of new contracts.
Vivek Gour: There are really three elements, Ashwin, one and most importantly is IT and discretionary expense on IT reengineering, where projects are getting over as we go from fourth quarter to quarter one, that drops off. Second, the replacement of those with new discretionary expense doesn’t come through as normal. And third, in general there is a flow now in decision making that we’ve been talking about and that continues.
Ashwin Shirvaikar – Citigroup: Okay. And with regards to the outlook for adjusted operating margins, given that you indicated that you do have offsets in various different levels that you can use to offset pricing pressure and so on, can you walk us through the elements that are leading you to guide down, essentially, from what you could achieve in 2008?
Pramod Bhasin: Yes, sure. I’ll be happy to. Just on the last question, Ashwin, that you were asking also, I just wanted to add to tell you that roll offs are normalized. They happen every year; they will continue to happen every year. I want to make sure that – there isn’t big and unusual happening in that area. On what we’re seeing in terms of (inaudible) where our margins, adjusted operating margins are coming in, there are two elements to that. One is the pricing pressure that we continue to see from companies and customers – existing customers who are asking for price. And two, is our keenness not to. So could we make that up with lower investment that we would normally make every year? Of course. But we don’t want to drop that off. We want to make sure that we continue to get great talent and build for the future. We believe these are temporary. We believe that the economic environment is temporary and that as clients get much more realistic about their own situation, they will start making some decisive steps towards choosing our services more and more and accelerate in what we’re doing. Logic tells us that our services are perfectly matched for what they need. And therefore, we are making a decision here in our own heads of, one, widening the range because we’re not sure where the pricing pressure exactly will come in, but we want to make sure we’ve built that in. And two, we like to continue to invest because from what we have seen, leading companies anywhere in the world become leaders in a recessionary environment when they continue to invest, not when they just fall back completely.
Ashwin Shirvaikar – Citigroup: Okay. My last question is with regards to transition cost on contracts. As you negotiate with plants, have you seen an increase in the number of plants maybe asking for transition costs to be financed by yourselves? And what is your opinion on using your balance sheet, which obviously, a lot of cash on the balance sheet and so on, to do that.
Pramod Bhasin: We see clearly, companies saying, “These upfront costs make the project less viable. We don’t have the money”, et cetera, et cetera. So we don’t – we use our – and we talked about this last year. So this is something we’ve been doing for a while. Where we’ve looked at, say, on transactional costing instead of billing them upfront, can we bill them over the course of the contract over the next three years? Because that’s frankly how we would account for it anyway. So it has no accounting implications. It has cash flow implications. But they’re very limited. And from a company’s perspective or a customer’s perspective, having it can be really helpful in moving the ball forward because they may or may not have any cash to do this and we are going to be spending the money and then we bill them over the next three years or two years as the case maybe. We have been doing this for a while though; it’s not a new event for us.
Ashwin Shirvaikar – Citigroup: Okay. I know I said last question, but when you said they may or may not have cash to do this, I just want to make sure that your client due diligence, has not, I mean, you’re not implying anything about your client due diligence process there.
Pramod Bhasin: Not at all. What I’m saying is, every client has budgets and programs, et cetera. And they’re saying, “I’m not going to spend – I don’t want to assume $2 million to spend here and take it as an expense. And I don’t want to take that $1 million or $2 million on expense this year.” That’s really where it comes from, more than – you’re right. It’s not necessarily a cash issue. It’s really that expense and that cash hitting that year.
Ashwin Shirvaikar – Citigroup: Got it. Okay. Thank you, guys.
Pramod Bhasin: Thanks.
Operator: Ladies and gentlemen as a reminder, due to time constraint, please limit your questions to one question. The next question comes from the lines of an Ed Caso from Wachovia. Please proceed.
Ed Caso – Wachovia: Hi. I have a few questions, I’ll make them short. I’d like to revisit the expense – the SG&A level in Q4 was a fairly dramatic drop off and I was wondering if there are some reversals in there, some comp reversals or anything like that.
Pramod Bhasin: No, Ed. There aren’t any. There are not any reversals. We’ve been, frankly for every year, for the last two years, we have been very clear about becoming more efficient and reducing our cost. We felt that the environment was difficult. We felt we must take action appropriately in that environment on our cost side. We’ve been able to drive it through a reduction of the board cuts, through a reduction of the bench that we have, through a reduction of hiring and training costs because our attrition has come down. We’ve had to train fewer people as we provide higher value services. We have to hire fewer people than perhaps expected. And there are – and that’s the bulk of the cost of reduction that is reflected in the number. Now they will go back up. We intend to make investments at the front end and get new talent in. As we shift on more and more deals that will happen, we were able to – perhaps review some of that because of the timing and nature of our business when discussions, perhaps in December, on new deals certainly quieting down as people will look at – as people look at closing their books, et cetera. And now they divide in January. As well as our focus on China to China, India to India, all of those, our businesses where, we can reduce our D&O.
Ed Caso – Wachovia: Okay. Thank you. Can you provide the components and your guidance between operating margin and adjusted operating margin, and other amorts, stock comp, FET, and other minority interest?
Pramod Bhasin: Yes, I think we have a reconciliation as part of the press release, but we’ll be happy to provide a–
Ed Caso – Wachovia: From a guidance perspective.
Vivek Gour: Ed, our stock compensation, which is a primary item between operating margin and adjusted operating margin will be approximately $25 million to $28 million in 2009. And our original formation accounting number will be in the range of about $26 million.
Ed Caso – Wachovia: And an assumption on SPG?
Vivek Gour: Sorry, assumption on?
Ed Caso – Wachovia: Fringe Benefits Tax?
Vivek Gour: It will be constant in ’09 versus ’08; it might decline a little bit, depending upon how people would like to try their options.
Ed Caso – Wachovia: Okay. Last question, share repurchase or other priorities for your cash?
Vivek Gour: No such plans, presently haven’t really thought about it. Sorry, we haven’t really thought about it, but no, no such plans. We think in time, acquisitions will be a great opportunity and it will be a great way to act to our end-to-end capabilities. But we’re very prudent about these things, we’re very cautious, and we’ll take it as it comes.
Ed Caso – Wachovia: Thank you.
Vivek Gour: Thanks.
Operator: Your next question comes from the line of Jason Kupferberg of UBS. Please proceed.
Steve – UBS: Hey guys, this is Steve [ph] sitting in for Jason Kupferberg.
Pramod Bhasin: Hi.
Steve – UBS: Hey. First question is, historically, GE has been quite than more of Genpact on an annual basis in the contractually required minimum. In 2009, a minimum $360 million. Do you have any visibility as to whether or not that will again prove to be conservative?
Pramod Bhasin: The GE revenues have been well above their minimum for a long time Steve. And yes, absolutely, they will stay well above that minimum. We’re very comfortable with that.
Steve – UBS: Okay, thank you. And the second question is, you mentioned earlier that acquisitions maybe something as priority. Would that be more captives or something bigger?
Vivek Gour: You know we’re interested in captive. We’re very interested in adding to our end-to-end capabilities in areas of business procurement, or analytic, or perhaps in accounting. I think the key to us is, we get it at the right value, given this environment, where it’s hard to predict when you’re out, and (inaudible) as to what their revenues and other numbers will be. So the key is, for us – and there are many areas where we could look at, we believe where a captive might help us. It could be a small (inaudible), or it could be a larger piece. I clearly think that captive may eventually come up, as a lot of banks and other people look to release equity. We’re in no hurry. We’re going to do this the right way, at the right time. There’s no rush behind it, we have a very strong team and M&A and they will keep hunting, until we get the right value, and the right strategic phase.
Steve – UBS: That’s it, thanks.
Vivek Gour: Thanks.
Operator: (Operator instructions) The next question comes from the line of Bryan Keane from Credit Suisse. Please proceed.
Bryan Keane – Credit Suisse: Hi, I just want to follow up on the pricing pressure comments. I guess I’m most surprised that you’re cutting price on existing deals, because I would have thought BPO deals would have been sticky and therefore you wouldn’t have to negotiate price down. And I don’t think I heard those comments in the fourth quarter. So it sounds like in the fourth quarter and the first couple of months here, you decided to really, drop that price. Can you just clarify that?
Pramod Bhasin: No, I don’t think that’s the case Bryan, so let me try and explain. In BPO at any time there are old contracts coming up, really old contracts that go forward. They can’t take the work rate easily, but clearly, in some cases will push for price. The biggest pressure is clearly in the IT side, very clearly. And it comes from a gripping customer who’s saying they can move work around, et cetera – and it also comes from new customers who are saying, look we happen to compete at different price. So it’s much more on the IT side, much less on the business process side. But the business process side is not going to be immune to pricing. So it can, be impacted by clients saying, we’re seeing some revenue issues here, and they will come to you say help us here. So it’s not going to be immune but it’s far more on the IT side than on BPO.
Bryan Keane – Credit Suisse: Okay, that’s helpful. My last follow-up question will just be on headcount plans. It looked like headcount sequentially didn’t grow. Can you just talk about what the plans are for the future?
Pramod Bhasin: Head count growth will always be lower – significantly lower than revenue growth. It is the way our model works, because as we look at reengineering and more global revenues and expansion into new geographies, that’s how it would work out. We believe it’ll be – our head count growth will grow to about – we’ll grow about 10% to about 39,000 in total by the end of next year. One thing I would add is, I don’t really look at head count myself too much because obviously the quality of the revenue is what we want.
Bryan Keane – Credit Suisse: Okay. Thanks for the comment.
Pramod Bhasin: Thanks.
Operator: Yes, fine. Your question comes from the line of Tim Fox from Deutsche Bank. Please proceed.
Tim Fox – Deutsche Bank: (inaudible) Question on visibility into your guidance. Is there any change versus this year from ’08 in the level of visibility that you have heading into ’09?
Pramod Bhasin: Not a lot of change in terms of level of, say, total dollar visibility.
Tim Fox – Deutsche Bank: Okay.
Pramod Bhasin: But what we’re seeing is more changes in terms of timing of division, if that makes any sense. So can I tell you where 85% [ph] of our revenue is likely to come from next year? Yes, but now, the certainty of those divisions is a little lower because people are saying either new deals that we’re going to have to postpone it because we have a financial problem ourselves, or they’re saying we can’t afford it, the upfront investment, as we were talking about it earlier. Or existing customers are saying this wrap-up we don’t have today because again, we have some existing, some upfront costs that we have to incur and we don’t want to incur in that this quarter. We’ll do it next quarter. So that’s really what (inaudible).
Tim Fox – Deutsche Bank: And just as a follow-up to that question, on the due contracts that you’re signing. Has there been any material at all to the size or length of those contracts and just, regarding that same issue of fixed price versus variable, any kind of changes in the components of how these contracts are getting structured, given the environment we’re operating in?
Pramod Bhasin: The overall structure of contract has not changed. There are many more mid-size companies that continue to enter the pipeline and have discussions and to that extent, the size of those deals and discussions obviously are smaller than larger companies. There still are a lot of larger companies, and those size of deals, the terms of the deals, and the nature of the contract have pretty much been the same. And the last point I’ll make is if it’s analytic, if it’s reengineering, if it’s quick projects that deliver immediate impact, those obviously are smaller in size.
Tim Fox – Deutsche Bank: Thank you.
Operator: And we will take our final question from the line of Karl Keirstead from Kaufman Brothers. Please proceed.
Karl Keirstead – Kaufman Brothers: Thanks for fitting me in. I have a question about your ’09 guidance. You’ve provided it for a full year, but wondering if you could help us just a little bit, even directionally, on the quarterly guidance. Would you expect revenues to be down sequentially in the first couple of quarters and then turn positive in the back half? Just a little color would help us. Thanks.
Pramod Bhasin: Sure, Karl. Typically, what we do see is, as you will see, is overlapped through fourth quarter to first quarter. If these are flat or slightly down or slightly up, and that’s what you should expect to see again certainly in the first quarter. And then you will stop seeing some of the sequential growth coming up. So that’s what we’ve guided you to, in the past, and we’ve talked about it many times, and so our overall business model remains the same.
Karl Keirstead – Kaufman Brothers: Okay, great. And if I could speak in one last one, your – you talked a lot on this call about SG&A coming in lower than most people anticipated, but on the flip side, the gross margins were down in Europe [ph] about 400 basis points. Could you talk a little bit about whether there were any one-time issues there and how we may think about that in ’09?
Pramod Bhasin: Not really. There aren’t any one-time issues in the SG&A line worth talking about. (inaudible). And what we will do, is continue to make investments as we go forward.
Karl Keirstead – Kaufman Brothers: Okay. I’ll follow up with you afterwards. Thanks.
Pramod Bhasin: Okay. Thanks, Karl.
Operator: At this time, I’d like to turn the call back over to Mr. Anil Nayar for closing remarks.
Anil Nayar: Okay, thanks, Katie. Let me just thank everyone for joining us in the call today. In this environment, we’re very pleased with our financial results and our overall growth achieved to date. So short term, we’ll have new challenges for our clients as we look to reprioritize the business goals and objectives, but we’re confident that our people and our business model can help our clients achieve even greater heights. If you have any questions, please do not hesitate to reach out to me. Thanks very much.
Pramod Bhasin: Thank you, everyone. Really appreciate it.
Anil Nayar: Thanks. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference call. You may now disconnect. Have a wonderful day.